Nicola Gehrt: Good morning, ladies and gentlemen. A warm welcome to TUI’s Second Quarter Results Presentation here in London. My name is Nicola and I am here on stage with our CEO, Sebastian Ebel; and our CFO, Mathias Kiep. They will present the second quarter results, which I think are a strong set of numbers. We will give an update on the trading and as well as our outlook expectations before we then conclude with the update on our strategic transformation. As always, afterwards, you will have the opportunity to ask some questions. And with that, Sebastian, the floor is yours.
Sebastian Ebel: Thank you. Thank you. So my voice is a little bit – I don’t know what the right word is. I haven’t been to the pup yesterday, but it’s the effect of a flu, but I’m well again. So welcome from my side as well. Happy to be here to talk about the progress of TUI. And you see us all in a good mood. The presentation will be very similar to what you are used to it. I will give a summary of the highlights. Mathias will go into the numbers, the trading outlook from my side and also a recap of our strategy of the measures, how do we move forward, what you can expect from us. And then, of course, we try and we’ll answer all the questions you may have. So quarter two was strong, strong improvement of revenues, also a significant improvement of our EBIT. So we are well underway with what we want to achieve this year. There are a few interesting things what you do see in the second quarter, what you can expect for the third and fourth quarter, how the transformation has started to impact positively the business, so a lot of interesting things. Markets & Airlines had a very strong late business, which led to 9% more bookings, ASP 3%. And I’ve never seen such a strong late business like we had in the second quarter. And we all learn new things during what we do. The summer bookings are good, a strong, very solid. We try to find the right balance between margin and volume. And it’s a lot of good development we can do see. The Holiday Experiences business, especially the Hotel & the Cruise busing, extremely strong, both and this is a really good to see. That is not only the market. There are a lot of things why we are benefiting also as TUI in this market segment, and I will give you some more details. And that’s why we can reconfirm our guidance, and we would pronounce very much at least 25%. We still need to book 40% of the summer which is the same level than the year before, but it’s still 40%, and that’s why we are still cautious. And what we do see, and I said it, the strategic initiatives, which we had defined which we are putting in place are seeing the first results. I said a couple of times before, it’s a 3-year program. It’s a marathon. It’s not a sprint. And it’s always important that you see the benefits of what you are doing, and that’s what we do. If we look into the different segment Holiday Experiences, you see another increase in the Hotels & Resorts business. Very strong increase in the rate. And you can ask why is that the case. We are benefiting from a lot of things, but especially also of the by far broader distribution than we had before. We put a lot of new channels into place. So the TUI operator in the markets and airlines organization will be also future very important. And again, we are not depending only on this distribution channel. We have built a lot of other distribution channels. Cruise is phenomenous strong. It’s an exciting business. It’s back to great levels occupancy is high. I always say don’t expect an increase in occupancy because last year, the ships were full. And they will be full with 102%. There’s not much more to get into it and how strong the business is – can be very much explained. We have the rerouting because the Suez Canal is maybe not close, but we’re not going there and all the additional costs we could offset by better business. TUI Musement on the same level, a slight shift in what we are doing. When we looked at the economics we saw that acquisition costs for new customers are not always paying off on a short time. So we said we focus on the B2B business, which is doing very well, and we focus very much on selling of own-produced products where the margin is significantly bigger. But nevertheless, we will see a significant growth there as well. On the Market and the Airlines part on a very similar level, we have to keep in mind that last year, we still had sun wing the Canadian operator, which we had to sell in the portfolio. This had last year’s second quarter, a €30 million positive impact. It has no impact on the full year. That is also important. We don’t lose that something on the full year. It was just a special effect on the second quarter. And therefore, we are on the same level. If you look into the different markets, Central region doing well, improving their results. Northern region, the Canadian result was in the Northern region, so slightly better and Western region it looks as there has been operationally a worse situation. It hasn’t been – there were some one-off effects, which had an impact. So also this is very stable. And I will give some more details later on. What is really important is that we start to see the growth on the dynamic packaging. And we are confident to achieve 2 million to 2.5 million dynamic packaged products. We sat there are millions more to come. This is a very profitable business, at least in today’s market environment. And therefore, it’s important that what we do is paying off. And the app sales is growing also significantly, the 15% growth is wonderful. If you see where we are today, with 6.8%, 7%, you see how big the potential looking forward is. And one thing which we stressed very often, quality is in the DNA of TUI is key of our DNA. After COVID came out or we didn’t – we weren’t where we should have been where we wanted to be. And we have seen significant improvement in May. We had even weeks with 60, and this brings us into the lead in the market – in the different markets. And that is very important. It’s important for retention. It’s important for cost because one of the reasons why have you been able to improve it so much. It’s – we haven’t cancelled. We have a very, very stable flight plan, especially at – in all the markets but we’re very much distinguished to other competitors, especially in Germany, who cancel flights like from 1 minute to another, we didn’t cancel any flight. The denied boarding compensation is at a very low level because we are flying like – or like a clock, we would say, in Germany. I don’t know if that is an English expression as well. So it’s going well. Yes, we invested a lot in standby aircraft and it’s paying off. And that’s why if we keep that in the summer, one, it’s important for the customer. Second, it’s important for the P&L. And the second thing is we said we want to have a broad choice, but we want a choice of good quality hotels. So we skipped a lot of nonperforming hotels from a customer perspective. And the CSATs are in all parts of the travel journey, customer journey, good. Sustainability update. Also this is in our DNA, and I could, as it is a special hobby of myself, I could talk for hours, but don’t get worried. We had – we are having the SBTi targets. The internal targets are more ambitious. We have seen huge progress on the different parts of the program. We said we want to reduce significantly the consumption of fossil fuel because what you don’t consume, you don’t have to get green or sustainable. This is working where every investment now has to follow a rule, which means if it’s a computer, if it’s a vacuum cleaner, if it’s a part for the ship to make sure that we – everything except aircraft because that’s technically not possible, should only consume half. Second, the production of green energy. We are moving very much ahead. We have the first solar fields in Turkey. So Turkey will be the first hotel destination where we will see carbon-free develop carbon-free operation. And I always say, and that’s the good thing. There’s a lot of great new technology now available and that makes it even more commercially sound. So it’s not electristic. It’s really also commercially important, and that has been a complete [indiscernible], which we will get in June will be methanol, green methanol, already. Then next year, the 2 LNG ships can consume eLNG, we are now a shorter at the process of having all ships ready for that. So it’s a great development and commercially sensible. Reduction of food waste, some quite often forgotten, one of the first AI applications we have, which helps us to reduce food waste or cost of buying food by one quarter. Again, it’s commercially sensible. It’s morally sensible, and it’s great. By the way, the growth of our own forest is also doing very well, but – and the last point is, and we should not forget, you probably have heard about the protest on the Canary Island. When we defined our sustainability agenda, we said sustainability is as important as the others. Part of the sustainability program because as foreseen that this could happen. And so we were well prepared communication-wise, what we do with the governments of the destinations and how we try to transport what’s happening into our markets. And one of the messages was that our customers sleep in beds of hotels, they don’t take beds away from anyone else. Our customers are brought mainly by bus into the resort, not by 50 individual cars. Our customers stay 10 to 12 days. And in the resort and not coming for 3 days flying out flying and this is a very high and protected product. And actually, if you see – have seen at the protests, looked at the protest, it was never against this part of tourism. What we are not doing is taking away living room – living space from the local authorities because that is the main problem. On the Canary Island, a very high percentage of all houses sold to foreigners or to main Spanish main lenders. So the normal person family couldn’t afford to buy a hotel because the foreign always could pay more. There are a lot of apartments, houses which are rented out directly through other intermediaries, and that has put a lot of pressure on to the population. And you will see that in the Balex as well. And that is the main source. So we are in a very constant discussion with the local authorities to see what could be the right measures, how we can support. We are building, as the one or the other may recall, staff housing, which are open also for others to help in a small environment what we can do. And the other thing is also very clear, if we would not invest into 10 more hotels. It wouldn’t be the Canary Island because it would be very difficult to get the acceptance for that. It will be Egypt. It will be Turkey, it will be [indiscernible] Dominican Republic or the Far East. So this is part of our strategy, which we explained. Sometimes more difficult, is it in the source market in England and Germany because what – at least what I’ve read in Germany, tourists are not welcome anymore. And this is very, very much over is accelerated. Tourists are welcome, and we have to put that into context. I’ve given a lot of interviews every day to explain it. And at least in Germany, it has worked well. So, Mathias?
Mathias Kiep: And welcome, everyone, from my side as well. I think we have a very good quarter that you can look at. And before we go into the details, I think there are 3 messages: one, on the development of the capital structure and 3, the kind of on the quarter. On the quarter, record revenue, again, and I think this shows the big partners of our customers for spending for holidays. I think if you look at consumer preferences, holidays is super important, and we wouldn’t have a record revenue level if there was not such preparedness. I think that’s a very good sign. Another improvement, as Sebastian just described on the operational development. First quarter that we are EBITDA positive in the second quarter. I think second quarter, you may all know is the softest of our business because of January to March. In the first quarter, we have still the October, the strong summer and included. So this is the softest quarter, first time, we are EBITDA positive. And then another improvement in the capital structure more than €1 billion of improvement. And I think that improvement, that’s also something that we see on the capital markets in terms of accessing the debt market when we went out to further refinance the balance sheet, we went out for a high yield. And in terms of that, I think they are absolutely in line with market standards. We’re actually much better than our rating would suggest. We shared our view on the rating. I think there’s a journey that we want and need to go with the agencies. But in the end, I think it shows where we are in terms of assessment externally, and that makes us very confident because with this capital structure, we have the right capital structure to grow the business, and we have the right capital structure to further reduce interest costs and to make sure that we can grow profits but not increase leverage, but deleverage the company going forward. Now to the details. I think the bridge and then P&L cash flow and balance sheet, as always, before I come to a final word on the listing structure because we are on the way to finalize that. Now as Sebastian said, progress on operational side effectively in all units. Very strong growth in the hotel business. I think that’s something we’ve seen quarter by quarter, and this will continue over the summer. Cruises. This compares against the ramp-up phase that we had last winter. So really strong improvement. Half of this is attributable to the U.K. business, Marella, half of this is coming from the German-speaking area, TUI cruises. So we see really the product is driven by strong demand and is developing very well. On Musement, you see a negative, but there was a positive one-off last year. So overall, operationally, the business is on track. And the markets and airlines reduction, this is in particular driven by €30 million that we had last quarter a positive from operations in our Canada business. Canada Sunwing, we sold the TUI operator – the TUI operator business was sold. In the full year, you don’t see an impact last year because it was positive in one quarter negative in one quarter. But in the comparison against last year, there is a €30 million positive last year, which is missing now. So that’s why you see a negative that operationally Markets & Airlines is up. So overall, I think the important message is H1, really, really positive, and this contributes to our targets that we can grow the firm significantly this year. On P&L details, I think, as I said, one important factor is a positive EBITDA for the first time. The rest of the P&L, the elements are quite under control. Adjustments. If you look at the €12 million that we have now for the full 6 months, if you take this times 2, then you’re at the lower end of our range for adjustments. There are still some amends that may come over the summer, but effectively no reason to change our guidance of €25 million to €35 million on that basis. Interest, if you look at that, €245 million broadly last half year and now down to €208 million. So that savings that we anticipated they really come through. And again, you could take this times 2. In the summer, we are not having the same credit costs like in the winter, so maybe a little bit of upside. But overall, I think what we can do and what we should do is we can confirm now that we will move to the lower end of our interest guidance. And that’s a real positive, and we had quite some ambitious targets with the capital raise 12 months ago now with the refinancing, now with all the initiatives that we do operationally to make sure that we have the best cash flow in also intra month, that’s something where you see this is the result. Income tax and minorities as we planned and the 18% underlying tax rate, something we expect to continue. Now on cash flow, you see effectively that the operational developments is reflected there as well. Again, interest is coming down nicely. Also there on the cash interest side, which is much more important, effectively for the business then including the noncash interest. We are looking at something €165 million against €215 million last year. And last year, you also need to add the €17 million that we had on the silent participation still from the state. I mean this is all gone. And if you take the numbers, then we are already at something like €50 million plus the €17 million of savings, cash savings against last year. Also here, we are confident that we can get to the lower end of our interest guidance of €330 million to €350 million, which is a really good progress. On the investment side, you may ask why is there is an increase, which is something like €200 million in the quarter. This is one financing the new Riu joint venture. This is something that we announced already, which was underway. There was a special dividend payment coming from the Riu entity to both shareholders, and we reinvested that as planned in the second quarter into funding of this new joint venture, which is another pillar for growth in the future. And then secondly, there was a bigger plot of land, which was acquired in Riu, which is also driving this number up. So I think these are the main reasons. Overall, we are still within our guidance, and this is something we are going to look at in the rest of the year, how this will develop. But again, it’s all as planned. Overall, again, also on the cash flow side, a very normal quarter, I would say. And if you look at the resulting balance sheet, this is a very different firm compared to 12 months ago. We have discussed this with each of you quite in detail already, but this 1.1, an improvement is, of course, quite substantial. And at the same time, all the un-normal financing really went out. KFW is now down to 550, again, reconfirmed it’s not drawn, and we have a good plan to get completely rid of this and to get held back at time, at the right time to the state. Other than that, if you could look at this, interest development, balance sheet development, operational development in terms of earnings, this will also contribute to our leverage target to move net leverage below 1x. Last word before I hand over to Sebastian on trading, on the stock exchange. Again, in February, our shareholders voted to decomplex our listing structure and to move from London to Frankfurt into the Prime Standard. A big expectation linked to that was to move into the MDAX. Now we started trading in the prime standard early April. I think this was perceived quite well. The feedback that at least I received was very positive. Now the next important milestone is to actually go into the MDAX and this is expected to for early June. All the simulations and analysis that we do support that we got into that but again, the trading will be in May and then the final decision early June. The final then mechanics to leave the London Stock Exchange that will be then by end of June. And I think what we can look forward is then a simplified listing structure, which will hopefully help and very probably help trading of the shares. And I think with that, looking backwards, now looking forward to you Sebastian on the bookings.
Sebastian Ebel: Thank you, Mathias. I think nothing to say about winter, except strong short-term booking market, which came a little bit positively as a surprise. At the moment, 60% of the summer program, summer, including October, is sold, which is the level where we wanted to be and where we had been always historically. This is great. On the other hand, there is still 40% to go and being cautious, we have – and we are working on that. And we see a normal booking pattern. We don’t see any unusual thing with maybe one exception, Eastern was earlier this year than last year. So, there is a small statistical effect in it because during holiday season and now we had Ascension Day, we have with some earlier. So that’s why there will be a momentum which is building up now. Again, UK plus 3%, Germany, plus 7%. Yes, we were slightly ahead when we discussed it last time. And for us, it was very important to keep the right balance between volume and margin. And this works very well. The question we have been asked regularly, is there a strong short-term business to be expected, and we haven’t built it into our assumptions. There are good reasons why it should be. There are other reasons why it shouldn’t be. So we have a very conservative view. And if there is a strong late business, then we will benefit from it very much, but not built into it. For us, it was important that we don’t have any risk position on flight capacity, our own hotel capacity. If you look into the market, flight capacity, there’s a lot available. Hotel capacity is very limited. So it’s very good to combine a wholesale hotel with a dynamic flight. And you will see later how this is working. What is important, and this is very different to the years after COVID, we are very well hedged, not only percentage-wise but also rate-wise. So for summer, we are, in a way, done. And for good rates for winter on fuel, three quarters, which is also a good important, takes a lot of risk out of the business, by the way, booking for winter next winter is also going well. And even for summer on the fuel side, we have a good booking situation. And also important is as we do see in some areas and that capacity is limited, especially in the Spanish environment getting bets there is unless you have contracted them early, like we have, there could be the situation that there will be stop sales and which is a good situation for us, and we have enough capacity, which we can bring to Egypt to Turkey. Plenty of rooms available in Turkey, Egypt, Cape Verde, Dominican Republic. So there will be no shortage on beds except probably maybe in Spain and in Greece, which should keep good momentum on pricing. If you look at the Holiday Experiences business, Hotels and Cruises extremely strong occupancy is up rates, 9% are even more up. The question always is how do you manage? Why is that the case? I think, as I said, the broadening of the distribution and to select more and more distribution channels, the ones which create more value is important, and that has led to this development. On Cruise, again, great occupancy availability. Unfortunately, the occupancy increase is not sustainable because the ship was full last year and it will be full this year. So maybe we end up with 1% or 2%, but that is the theoretical – the practical maximum. The daily rate is showing a smaller number. It is not corrected by the mixture of the destinations. If you would do that, you would see there also a significant increase. And that’s the reason why we have such a good profitability, which is able to offset the significant cost of the rerouting because of the closure of the Suez Canal. On the TUI Musement, we expect 9%, 10% increase on the experiences sold. That is a little bit less than we had said before, but we looked very closely which channel brings us what kind of money. And there, we saw that what we did last year’s quarter, we invested a lot of new customers that [indiscernible] others also experienced that this is not paying off immediately or maybe never. So we said, as we are very much focused on getting the profits into the company, we do it B2B or we do it where we have a strong margin, which is mainly with the products we produce otherwise, we are very happy with the development of Musement. So Mathias, that we can do together, right?
Mathias Kiep: Yes. And I would suggest, like always, I do the revenue. And I think with more than 15% up in the first 6 months. This, of course, contributes to the target of being more than 10% up for the full year. If you look at the bookings and the price increases, I think that’s a sound package to get to this guidance.
Sebastian Ebel: And we can reconfirm the underlying EBIT guidance, and we both would stress at least 25%. As said, still 40% to be booked. We are confident that this will work well, but it’s still 40%, and that’s why we said at least.
Mathias Kiep: I think we can skip this because we talked about the outlook for the segments. And if we go to the assumptions, I think, as I said, no change to the SDIs, the adjustments year-to-date, almost exclusively PPA. The interest were good news. We can move to the lower end. We expect to narrow the range there to the lower end, both on P&L and cash. Net investment confirm the range, leases and asset financing, I think Sebastian mentioned it on the Boeing, there’s always a bit of unclarity in terms of the delivery schedule. Still, I think we can say this remains stable for the full year. And on the net debt, we continue to expect that this will be further improving throughout the year.
Sebastian Ebel: Great. Thank you. And as you were mentioning, Boeing, we don’t see an impact on this year’s operations, which is a great success because we got by far less Boeing than we had anticipated and planned and we were able, because we anticipated that to fill the gap through lease extension, which we had. We have not planned at the moment for compensation, but definitely, there will be some. This is annoying. But again, it’s not in our hands. And it’s not always easy. We see it with other companies who rely on the second supplier but it’s annoying that this is – it takes a lot of effort in filling the gap, and we have managed, but it would have been better spent time and money by doing other things. An update on our strategic initiatives and midterm ambitions. This summarizes the program. I said we are in the middle of the transformation process. I said 3-year program, marathon, not a sprint. We are in the middle, and we see the first benefits we wanted to grow, not we wanted. We want to grow the market share, the profitability be more resilient through increase of margin, higher retention, getting the synergies or improving the synergies between both holiday experience and market and airline distribution cost reduction is very important. And to optimize the customer lifetime value, how do we do it as a short summary? We grow the dynamic package business, the component business with existing and new customers. the rollout of the asset right growth. We mainly grow asset base with our joint ventures. On the TUI balance sheet, it’s more on the management of hotels asset light side, the platforms, and that is something which we always got the question, are you able to do it we have now very much into building the platform to be in the process of rolling it out. So to have one platform to buy products especially with the direct link to [indiscernible], so without the middleman, any more daily pricing, daily capacity accessibility and the production part and then we have the platform – the selling part that is the part which is still missing so that we have one selling platform for all the markets. And if that is built, we have a lot of impact, one. I mean, the first market where we introduced the first platform is all in Belgium, and we do see the benefits on costs. And it will be the rollout into other countries without building big activities just using the platform and building solid sales and marketing. And this should grow the company and asset light or on the same asset structure we have and creating a lot of shareholder way by the way. It’s also important, it’s not on the – here. We have to build further on our brand, which is very strong and to further develop it into a lifestyle brand. So we are superior to a lot of other tourist brands that we can do still a lot, I would say, the good message is in all European markets or the bad message is booking is always the number one or two. The good message for TUI is we’re also in all the markets, number one or two, and we can commercialize that by far better. And if we roll out to other markets outside Europe, this will be a nice challenge also to make great TUI as a loved brand. On the other hand, it’s easier because in a lot of markets like in the U.S. in the Caribbean TUI is very well known through all the hotel and the experience business. So we don’t start from scratch. We have to build on – can build on a position. Dynamic Packaging has two components, one flight and recommendation. We have spent a lot of time to build the buying platform so that we can connect directly to the airline inventory. And the last deal was with Ryanair, the first Ryanair dynamic package lights. We will start to sell in June. It starts with Poland, then it will be Central Europe, Western Europe, and then it will be the UK. And it’s important that we have all major airlines in this because that has TUI impacts. One, cost impact, availability impact, second, range because we get content where it didn’t – where people didn’t find TUI packages. And thirdly, it’s about frequency. There are competitors who had left the 7, 10, 14 days model by far earlier than us, and we are closing this gap. And we have seen that as a great 30% increase in the second quarter. If you would assume that for the time being, for the full year, there is a huge increase and to increase that by €1 million or some million in the future is doable. It’s really important. And second, beside flight is a commendation. We have now built more and more direct connects to hotels. It’s still a 6-month period until we have all what we want to have. Two reasons. One, we take the cost of the middleman out. The hotel – the bad banks. Second, we get availability, which we haven’t had before because it was too complex for the hotel year. We needed 10 beds more to give it to us that will work automatically. And that both, as I said, has seen a strong impact, although we had been maybe now for summer 50% where we wanted to be. And then in the coming months, we will close completely the gap. Second, these are only some examples on the asset right growth. We will get Mein Schiff 7 now in June. In ‘25, ‘26, the next two cruise ships, also the ships which are bookable, Mein Schiff Relax is booked very well. So the assumption we say we have on the EBIT contribution, which is 50% of the EBA of TUI Cruises is very realistic. On hotel results, quite interesting. Some hotels we changed different brands. For example, in that – and we do it more and more of now that we look, which is the right brand for the right destination. We see that, for example, Vietnam, which was a TUI Blue with the Robinson as a long-haul destination itself significantly better, a significantly higher price. We do it also in the apps now. But also with TUI Blue, we grow quite significantly, and we have our first luxury hotel on the Zanzibar which is opened also in June. So a strong pipeline for the future. And on Musement, very clear, we gain more and more B2B partners like [indiscernible]. We are very happy and proud of that. And we had others also in South America and in America. And we’re putting a lot of effort in producing our own product because this is the only way to significantly produce – to increase profitability. Just growth would cost a lot of money. App sales, great news, strong growth, great news. We still have a very low number, which we can grow, I always say, we support very much the retailers. It’s nothing against the retailers. The retailers are very important for us. We even grow the base – the third-party base in the UK with great success. We even built the one or the other retail outlet here, same in Germany. It’s more to shift the online sales to the websites to the app sales. And this probably saves us 10% of performance marketing, which we can reuse to, of course, for profits, but also for growth investments, and that’s a self-fulfilling prophecy if we do so. And also, as you have seen on the quality side, the app is rated better and better. Is it as good as best of breed, not yet, but we are getting closer to it. And it’s one of the most important projects we have. By the way, everything produced in our offshore center in Portugal with great cost and high efficiency. So we changed a lot there. When we talk about also new customers, what we do see, these are the first numbers when we get an accommodation-only customer or an experience only customers, it’s quite – we see it’s quite obvious that a lot of these customers then book the package or book a component and change the components to a package or by the package or other product the next time. So this is why we built the TUI ecosystem so a customer which we have, we want to sell more products more often. And this apparently works well. A lot more to do. I mean the example, Amazon, they started with books. And today, you buy everything from it. Very similar approach. I wouldn’t say that we are the Amazon tomorrow. It would be too nice to believe, but that is the way forward. So by doing this, we want to accelerate the growth. We want to accelerate it by global platforms, which makes them more agile, that takes out a lot of costs to improve profitability and margin, very strong focus on cash. We have a lot of ideas where we could invest the market actually is ready for investment, and we are very cautious because we want to strengthen the balance sheet first. And this balance will help us to achieve also our midterm ambitions, which means a significant growth, passenger-wise, revenue-wise, but which is more important on the EBIT, which then improves the balance sheet, and that would also change the rating to the better. So a lot of transformation, pretty proud what the team has achieved. The market is stable. And we perform, especially through new products and different production very well. And I think proving that the quality we can deliver has heard a lot of questions. If you do dynamic, how do you do it with great – with good quality, we are able to deliver that. And the whole thing makes us – gives us a lot of confidence for the short-term and for the medium-term targets. And again, as I said last time, it’s a lot of fun to work in this environment.
A - Nicola Gehrt: Thank you, Sebastian. Thank you, Mathias. I think now we are available for Q&A. Looking forward to your questions. [Operator Instructions] Jamie, please go ahead.
Jamie Rollo: Thanks. Jamie Rollo from Morgan Stanley. Three questions, please. Could you just talk a bit about the trading environment? You talked about very strong late market for the winter. But we’ve heard some of your competitors talk about some pricing weakness and family market weakness for the summer, but you sound sort of perhaps a bit more complement in them? And also what oil capacity plans for the summer this year in the UK, it sounds like you’ll not adding any growth anymore? And secondly, on Marella, what are the plans there for the fleet, it’s pretty old. Should we assume that when the Mein Schiff – new ships come in, you get a couple of the older mine ships back and in terms of funding that, obviously, that comes back onto your balance sheet. So what’s the impact there? And then finally, how should we think about refinancing the bank RCF? I know you’ve got a couple of years there but is that likely to be next year? And similarly, on the KFW facility, when do you think you’re going to cancel the remaining 550? Thank you.
Sebastian Ebel: Thank you. Thank you for the questions. on trading, and I think – and Marella, I will answer the third question and Mathias can answer. The market is very stable in all the markets. What we do see is a difference in flight only in package and in the hotel. I – at the moment, we do see that there is a high availability on seat only, so flights. And there is a low availability on hotel rooms, which is good for TUI because, one, we have the hotel rooms. Second, flight doesn’t help – I mean, if you’re a private person and you have a house or so, of course, it helps. But as a customer, if you don’t get the room, the hotel room, or for a reasonable price, then the best flight offer doesn’t help. And that’s why at the moment, what we do see when we combine dynamic package, the best thing is a wholesale bet with a dynamic flight. And that has helped us in a strong late business because we had the hotel beds. And that’s why we are pretty happy about the market condition as long as we have access to good debt. As said, I’m not sure about – we will see this late business. Also in summer, there are a lot of good reasons why we will have it. There may be other reasons why it shouldn’t come, but it should not impact us significantly because we have the beds and the flights are there. On Marella, first, we took Marella out of the TUI operator business, we put it aside. And this has improved the Marella P&L, a lot. It’s an amazing development, especially when you have to have in mind as TUI cruises that we have all the rerouting costs bring the ships back from the Far East to Europe, you have to go around Africa, that has a huge cost increase. And you are very right at one stage, we need new ships. There are, again, different sources. We can think of one is TUI Cruises. I was pretty sure that there would be a lot of opportunity. On the other hand, what we do see at the moment, whatever we bring into the market, the capacity is sold out. So, if there would be – for what reason ever, a reason that we couldn’t sell them within TUI Cruises for such a great price and the whole volume, then Marella would be the first anchor for these ships. That leaves us in the project to look for newer tonnage. The good thing is that capacity to the market is very limited. Shipyards are sold out, mainly sold out to 2030, ‘35, maybe we get the one or the other slot. So, for the time being, we plan with the existing fleet, we modernize the fleet where it is necessary and where it’s sensible, but we don’t have an answer yet where to get the new tonnage for a reasonable price from alternatives would be TUI Cruises or Royal Caribbean. So, we are not left alone there, but there is nothing to explain today with the exception that we are very happy about the profitability there.
Mathias Kiep: And the final question on what are the refinancing maturities and how do we look at them, I think to give you the full picture, there is €0.2 billion through chain [ph] maturity this year. Last year, we did this out of operational cash, and this is planned for this year as well. ‘26 then, we have the maturity of the RCF which has won the commercial banks RCF and what is remaining out of KfW. 12 months before that, we should be looking at this to address it. And there is also the ability from the existing convertible bond to put this in 2026. And I think that overall package, we are looking at. If you ask me, I think on the RCF, this is ordinary course of business, business as usual now to go into a refinancing exercise there. On KfW, again, we have reduced it to half again by issuing the AG bond. The convertible put is there something to look at. And I think there are many opportunities to find the right mix for that, and we will update you in due course at the right time.
Cristian Nedelcu: Thank you. Hi. This is Christian Nedelcu from UBS. Thank you very much for taking my questions. Maybe the first one on the summer average selling price of plus 4%, can you talk a bit more about how much of that is mix and how much of that is actually prices going up? And in particular, historically, in the late season always the average selling price has been coming down in most of the years. So, do you think this year you can hold on to the 4%, or should we think at 2%, 3% at the end of the summer? Linked to this, looking at the OpEx growth through the summer in the tour operator business, some of your competitors are talking about accommodation and wages going up 6%, 7% year-over-year. Do you subscribe to that view, or do you see any other numbers in your business? And the last one, you have burned, I think around €750 million, €800 million free cash flow in the first half. Historically, if I look at the second half, we have always done €1.3 billion, €1.4 billion of positive free cash flow. Now, if I sort of do the math, we should say that at the end of the year, you are going to do at least €500 million of free cash flow this year. So, would you agree with that or any reason why in the second half, your free cash flow generation should be lower than the historical €1.3 billion, €1.4 billion? Thank you.
Sebastian Ebel: On the selling price, the impact of mix is minimal, so it’s very comparable. And I would say it’s very close to the inflation, the cost inflation we do see. And maybe we are a little bit better secured because we had long-term contracts, but it’s very clear. You have seen it that we have 9% increase in our hotel rates that hotels have been or cost inflation of buying hotels have been stronger. What we do see is a normalization now that inflation comes closer, so the general inflation comes close to the cost inflation we do to see without special impacts like the CO2 tax and these things. So, I would say, again, the 4% is a fair comparable way. Yes, there has been a higher increase in cost in general in the market, less with us. And secondly, and that is linked very much to the second question, how do you see the lates business. And we have tried to sell early. That’s why also it goes slightly down the increase. The more we sell dynamic packaged products, the more we can benefit or dis-benefit from the prices we can get and therefore, we don’t see it as a threat if it comes, great because we will sell more lot dynamic packages, but doesn’t come. It has not such an impact on our wholesale products. We are less vulnerable than we had before. On the other hand, we have a strong lates business is always nice, and it gives the top of the cream to the business. And as long as it’s not something where you have to sell and you have seen how the dynamic packages are doing. Now, we put that also in the business model of TUI, so we said, if you have both dynamic and wholesale, theoretically, if you get the best out of both, it would be great. I mean life is not black and white. It has some impact to each other. And it’s great. On wage increases, it’s an interesting topic. We have just signed a deal with – in the UK with our airline staff, I think it’s a very fair and long-term deal, which brings in line what our people needed and wanted and what we can live on and it gives us a high certainty for the future. In Germany, that will come at the end of the year. So, there are significant wage increases, but it’s very much manageable and it’s more for us that we have certainty over the years. And last thing is, I see a big advantage for the non-European destinations because they have the benefit of, in general, a very attractive cost position. The benefit of the devaluation of the currency, and they have the benefit of a very different tax regime. And that’s why we put so much emphasis on Egypt, on Morocco, on Turkey and convert the Dominican Republic, because I think the competitiveness of these countries will increase, and therefore, will be more important. And what we tried to play even better is that we make offers to the customers in a way that the customers always have an alternative if the price to Majorca, which will be high, this summer is too high for them.
Mathias Kiep: Thank you. So, on the last question on cash flow, I think if we look at the components, 2019, I think was you referenced against this year. If I go through the cash flow statement, working capital should be better generally than 2019 because now the business is growing more on a relative position. And secondly, there is less prepayments in the business to do more sales and the sales number as such is also higher because inflation is then also driving working capital. On the rest, if you then go down, you have less dividends in the business now because TUI Cruises is not paying a dividend yet. You have more interest costs compared to the past. And then on CapEx, you have significantly less CapEx. I think there is a bit of a – you need to really go down through the cash flow statement because then it’s IFRS 17 against IFRS 16, if you go to leases, etcetera. But overall, I would say, from a tendency, there are scenarios where you come out better than in ‘19.
Cristian Nedelcu: Can I just follow up on the previous point on the OpEx and average selling price? If I look at Q2 in Markets & Airlines, you had 14% more customers year-over-year. You had 375 more revenues year-over-year. But your clean EBIT, excluding Canada, was up somewhere around €10 million. So, I guess I am trying to say is the contribution margins of that incremental customers and revenue was very low? So, maybe can you elaborate a little bit why that was the case? Does you have to do with a dynamic packaging, any other reasons in there? You mentioned some one-offs in the Western region, any more color you could give us there? Thank you.
Sebastian Ebel: I expected this question and it’s a very fair and good question. The answer is easy because in the second quarter, it’s always a quarter where you sell at zero margin or even at negative margin and very different to summer, where every sale is incremental profit. This is not the case. So, a lot of sales are not directly value creative. It helps a lot in filling hotels, in filling aircraft. But it’s – you don’t see the boost of profitability through if you have a couple of percentage more customers. And second, we had a lot of not only Canada, but also other one-time effects, valuation effects and so on non-cash effects, which a little bit distorted from our – the P&L and it’s not completely the fair view. So, these are the main – actually, we were, I would say, operationally better. And second, the incremental sales are not so much value creator for Markets & Airlines. And we had to offset all the additional Boeing cost, that is also something which I would like to mention, and we have not taken into account any compensation, which hopefully we will see next year. So, there were a lot of things. Overall, if we get more customers in the third quarter and fourth quarter, that should be significant value creative. And in today’s market situation, dynamic customers will bring a lot of good margin.
Muneeba Kayani: Muneeba Kayani, Bank of America, a few follow-up questions, please. So, just on your comments around refinancing, how should we be thinking about cruise dividends now going forward? Second question is on your commentary on Boeing delivery delays. So, it’s not impacting this summer, but beyond this summer, what’s the impact from Boeing? And if you could also talk about just compensation, like – would it be cash, in kind, any guidance on that? And then third question around just Lufthansa strikes in Germany, how did that impact your business, if at all?
Mathias Kiep: Thank you. And maybe I can start with the cruise dividend. I think there are two components. One is operational ability to pay dividend. And I think if you look at the performance, you see the ramp-up and the profit level. So, operationally, the business comes into a position to pay dividend again. The second point is the, let’s say, financial structure is that able to pay dividend. We had a structure there, which prevented paying dividends to shareholders. Now, they issued a new high-yield bond to take out these instruments. So, in principle, we have it in our plans for 2025 and they should be in a position to pay a dividend as well.
Sebastian Ebel: On Boeing, there is a significant impact on this year. The first we have to fly elderly planes. Lease rates have, we secured a lot early, but lease rates for old aircraft have gone up significantly. Maintenance costs have gone up. So, if we say that we keep the guidance at least 25% there, we consume a lot of incremental cost this year. And also for the next years, we don’t expect delivery like we had planned, had agreed. And it’s only not only the MAX, but wanted to have the MAX 10, which is not even certified, so it’s a very annoying topic cost wise, maintenance wise, we need the capacity and so on and so on. That’s why we think we have a very strong case for compensation. We are in the middle of the negotiations. We think there is no reason not to give us a fair compensation. We fight hard for that. And what the outcome will be, there will be a significant outcome. I can’t tell you. There are different ways to achieve that. The best thing would have been if we would have received the airplanes, we need a compensation. The compensation we haven’t planned for this year, there will be something. And hopefully, in three months and six months, we have a very clear picture, you know that they changed the complete management, which doesn’t make it easier. We will be very tough on that. I think we are not known as – maybe we were known as the nice guys, but I think this is so fundamental to our business that we will fight for everything. The outcome, we know what it has cost us. We know what we want to have, has also impact on the sustainability targets and so on, we will be very tough with it. And when we have the plane, it’s a great plane. The savings are huge. So, it’s even more annoying that we don’t have the planes. Lufthansa strikes, first, any strike is bad for the business. It was slightly positive for us and it was not only the Lufthansa strikes, by the way. We had a lot of strikes of the handling agents and the airports. So, airports were closed for a couple of days. And in a way, it is negative because if we have a dynamic package with the Lufthansa strike, we couldn’t fly the customer. We have to compensate the customers, but we don’t get a compensation from the Lufthansa Group. And what you also sometimes see that you have a slight decrease in bookings for the time of the strike. So, nothing positive, it also impacted our second quarter, it was €10 million, €5 million or €20 million, no idea. It’s very difficult to measure. But there has been also a positive impact because we were the only airline which didn’t cancel one single flight because we went to the tertiary airports. And it was a huge success of the team and the tertiary airports. We even do – sometimes did the carrying of the luggage on our own – I come from [indiscernible] a very small airline. One day, we had 11 2E flights going out, including Egypt, we handled 11 planes with 650 people on the ground, we – I mean, the airport and it does. So, that’s why the retailers are very, very happy with us, and we have gained market share in the retail space because they have seen us as a very reliable and flexible company. And it’s a big challenge because we have seen, that’s why I am so happy that we have agreed to a reasonable good and fair deal. I think the units are as unhappy as we are, so we can be happy. This is still to be done in Germany. I am confident that we can do it. But it means a lot of work and a lot of goodwill from both sites.
Ali Naqvi: Good morning. Ali Naqvi from HSBC. Just in terms of your booking trends going from plus 8% to plus 5%, could you give us any color on the exit rate of that over the course of the quarter? And then you mentioned the potential for a strong lates market. What do you think the competition or how rational competition will be when it comes to accommodation pricing, or is that an area that you think the market could lose margin there if they start to bid more aggressively? And then finally, just on the Boeing disruption costs, can you quantify any of that, or can you give us any sort of views on phasing of the costs for the year?
Sebastian Ebel: So, I would expect very stable booking trends, as said, maybe there is a 1% effect on the earlier Eastern. So, that should be very stable. We are very sold – we are well sold when it comes to own capacity airlift and hotels. If there is – and the potential of lates, as I have said, I – that’s pure speculation. And I think on the airline side, I would assume slightly more competition and maybe lower prices, maybe, maybe, maybe. And on the hotel side, I would see even stronger prices, and therefore, this could compensate. The Boeing distribution costs are significant. As I have said, if we – I think we had to plan to get 14 more aircraft this year, and if you would 20% less fuel, less maintenance, we have very attractive buying prices. So, the impact is significant, and we consume that in what we predict and that’s all that there is a good outcome for next year. And we will be, as I said, we will be very hard. We will be tough. On the other hand, we need a good relationship together because we want to have – we need the planes. We need the Dash-10, which is not available, maybe the Dash-9 could help us, so a lot of things where we need to work together. Also on the quality reassurance, it takes a lot of additional effort for us for owning inspection and so on, and we think it should be and will be valued by Boeing. And I am quite often asked, what about Airbus. We have a very good relationship as well to Airbus, but they don’t have aircraft. So – and they are – if you buy them today in 10 years, prices are extremely high. So, we put a lot of effort in having a good relationship to Boeing. We hope that everything what we do is valued and then we will see a positive impact, which we haven’t planned for.
Nicola Gehrt: If we don’t have any further questions here from the audience, perhaps, I can kindly ask the operator to see if there are any questions from the web.
Operator: [Operator Instructions] We have no questions registered at this time. I will hand back over for closing remarks.
Sebastian Ebel: Some last words.
Nicola Gehrt: Please.
Sebastian Ebel: Okay. What was it – cream on the cake you said, so we are waiting for the cream on the cake which could be the latest business, which could be operational performance, if I look every day about the operational performance of our airlines, wonderful time with no really eruptions, but this can, of course, change, you can never plan for it. And of course, we hope that there are no major impacts like we have seen last year from roads or other things. The ships seems to be on plane, on time, and for us, it’s now even more important that we put all the effort on a successful transformation. You know that we changed management team. We are working a lot in driving the culture of performance. And it’s sometimes easier than it to explain than to do. This is where we work on it. And the last thing is, which is more of the fun part is to emotionalize more the brand to make it more emotionally attractive to our customers, and there is some good news to come. And if someone is interested to run with us the Marathon Palma, and there will be all sea areas of Marathon. Be happy, you will be invited to it.
Mathias Kiep: That’s not in the forecast.
Nicola Gehrt: Thank you.
Sebastian Ebel: Thank you.